Operator: Good day, and thank you for standing by. Welcome to the BitFuFu Second Quarter 2025 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Charlie Brady. Please go ahead, sir.
Charles Damien Brady: Thank you, operator. Good morning, and welcome to BitFuFu's Second Quarter 2025 Earnings Call. The company's financial results were released earlier today are available on BitFuFu's Investor Relations website at ir.bitfufu.com and globalnewswire.com. Joining me on the call today are BitFuFu's Chairman and CEO, Leo Lu; and CFO, Calla Zhao. Before we begin, please note that the discussion today will contain forward-looking statements made under the safe harbor provisions of the U.S. Private Securities and Litigation Reform Act of 1995. Statements that are not historical facts, including statements about the company's beliefs and expectations are forward-looking statements. Forward-looking statements involve risks and uncertainties that may cause actual results to differ materially from the management's current expectations. Potential risks and uncertainties include, but are not limited to, those outlined in the company's public filings with the SEC. The company does not undertake any obligation to update any forward-looking statement, except as required under applicable law. We will be discussing non-GAAP financial information on this call. The company is providing that information as a supplement to information prepared in accordance with accounting principles generally accepted in the United States or GAAP. You can find a reconciliation of these metrics to the company's reported GAAP results and the reconciliation tables provided in today's earnings release. One final note, although we will not be conducting a Q&A on this call, questions can be e-mailed to ir@bitfufu.com, and we will respond as quickly as possible, generally within 24 hours. I will now turn the call over to Leo Lu, Chairman and CEO of the company.
Leo Lu: Thanks, Charlie. Thank you for joining BitFuFu's Second Quarter 2025 Earnings Conference Call. Before handing over to Calla for a detailed review of our financial results. I will provide some key highlights from the second quarter, update on key strategic initiatives and share our outlook for the remainder of the year. In the second quarter of 2025, we achieved total revenue of $115.4 million, a 47.9% increase from $78 million in the first quarter, adjusted EBITDA reached $60.7 million with net income of $47.1 million, a strong rebound from the first quarter. The significant improvement in the second quarter financial performance resulted in total first half 2025 financial performance of $193.4 million in revenue. $30.3 million in net income, $49.9 million in adjusted EBITDA and diluted earnings per share of $0.18. These results reflect not only the rise in Bitcoin prices but more importantly, the strength of our strategic decisions, investing in fleet upgrades, expanding our hosting capacity, diversifying our revenue streams and securing low-cost stable power sources. Together, these initiatives have strengthened our competitive position and created a solid foundation for long-term growth. These accomplishments are a direct result of the dedication, skill and relentless pursuit of excellence by the BitFuFu team whose efforts continue to drive our vision forward. As of June 30, our total managed mining capacity reached 36.2 exahashes per second. A record high since our founding and placing us among the leaders in the U.S. public mining industry. Our hosting capacity also reached a new record of 728 megawatts, the rise in the Bitcoin price this quarter fueled strong demand for cloud mining, leveraging our scale, operational efficiency and trusted brand we secured significant computing capacity from multiple new providers to deploy into our cloud mining platform, enabling us to meet the growing market demand and strengthen our competitive position. This momentum continued into third quarter. As of July 31, our total mining capacity further increased to 38.6 exahashes per second. Our hosting capacity expanded to 752 megawatts, and the number of registered cloud mining users exceeded 629,000. These early third quarter figures demonstrate our ability to maintain growth beyond this quarter, and reflect our strong operational execution and market demand. In terms of operations, BitFuFu has continuously expanded its mining machine fleet. Since 2025, the company has purchased over 20,000 mining machines, including about 10,000 and minor S21 series machines, which the theoretical minimum power consumption of the S21 series machines is as low as 13.5 joules per terahash, significantly increasing mining profitability. We have also achieved excellent results in cost control in the second quarter, the average bearer price for our own mining farms fell to $0.036 to $0.042 a with prices as low as $0.0314 at our African mining farms. This reduction in energy costs has significantly increased profitability in our proprietary mining operations. For example, with the recent price of Bitcoin around $120,000, the direct cost of mining 1 Bitcoin using the S21 XP mining machines deployed at our own mining farms is $29,000. This year, BitFuFu's owned mining farms in North America and Africa have performed exceptionally well. We deployed and optimized our BitFuFu OS overclocking technology, enabling mining machine chips to operate more efficiently at higher speeds, and unlocking greater performance from our fleet. In the second quarter of 2025, even as our mining farms participated in regional power to curtailment programs and operated below full load. Firmware enhancements increased the hash rate operating efficiency of our S21 series miners to 100.5%. This optimization boosted the output of each mining machine while supporting large-scale power rationing initiatives, reducing electricity costs and maintaining strong profitability despite seasonal high temperatures and electricity price volatility in North America. These results highlight our ability to combine operational discipline technological innovation and market adaptability to deliver consistent value. We intend to actively participate in electricity plans in the U.S. market and continue exploring alternative sources of low-cost electricity in North America and around the world. Another key strategic direction for BitFuFu is exploring a self-generated mining model by sourcing natural gas and deploying generators in North America and Africa. We aim to secure stable low-cost electricity, thereby better controlling costs and ensuring supply security. This strategy is a significant step towards becoming a more vertically integrated power generation and mining company, enabling us to control key links in the value chain. In Canada, for example, we are evaluating opportunities to leverage low-cost natural gas for power generation. The current AECO natural gas price, Canada's benchmark for natural gas traded in Alberta is approximately CAD 0.80 per giga joule, a standard unit of energy equal to about 278-kilowatt hours, at a 33% efficiency rate, meaning 1/3 of the energy in the natural gas is converted to electricity and current exchange rates. This translates to a tax-inclusive electricity generation cost of less than $0.01 per kilowatt hour. Securing natural gas power generation capabilities could provide a long-term stable structural advantage in the unit cost of hash rate production. Looking ahead, BitFuFu aims to maintain industry-leading electricity costs by mastering the entire supply chain from fuel to electricity, relying more on clean energy and significantly reducing our reliance on the public grid and market electricity prices. We will shift from passively accepting electricity price fluctuations to proactively managing energy costs, thereby gaining structural competitive advantages in expanding hash rates resisting cyclical fluctuations and responding to policy changes. Another important business development direction is the combination of RWA and cloud hash rate. RWA or real-world assets refers to the digitization and tokenization of existing real-world assets with value and cash flow including government bonds, corporate loans, gold, real estate and even intellectual property on the blockchain. Technically, this involves using on chain smart contracts to record asset rights, distribute returns and execute transfers. Financially, it transforms assets previously tradable only within traditional financial markets into digital certificates that can circulate across borders 24/7. The value of RWA lies in significantly improving asset liquidity, reducing transaction and financing costs and enabling investors to more efficiently allocate capital globally. We've recently observed that RWA have moved from the conceptual stage to compliant application, for example, platforms like MakerDAO and Ondo Finance have tokenized low-risk assets like U.S. treasury bonds enabling direct on chain access and trading, satisfying the demand for safe assets in on chain stable coins and D5 protocols. In the commodity sector, gold tokenization products like Paxos Gold and Tether Gold provide digital holding and instant trading capabilities for gold, reducing the complexity of storage and cross-border transactions. We believe that Bitcoin hash rate and the Bitcoin, it generates represent a standardized, predictable and sustainable asset class, similar in nature to other securitized cash flow assets. In the future, we may be able to structure and issue the income rise from hash rate output, future output expectations or mining cash flows over a specific period in the form of RWA within a compliant framework. For example, this structure could allow investors to gain proportional exposure to BTC cash flows without directly participating in the procurement operation, and energy management of mining equipment. It also allows us to more flexibly attract institutional capital, expand asset liquidity and build bridges between on chain and off chain markets. We believe the combination of cloud mining and RWA could expand from the primary mining market to the secondary RWA trading market. With a mature application and development of stable coins and RWA, the demand for cloud hash rate could increase exponentially. At the same time, RWA-based derivatives trading could further expand and enrich trading scale and profit models. As a leading global cloud computing platform, BitFuFu has been transacting cloud hashrate at scale for several years, making us a natural partner for many RWA institutions in this space. We will carefully evaluate opportunities in this area, ensuring all operations meet the regulatory requirements of a NASDAQ-listed company and the jurisdictions in which we operate. Our priority is to work with licensed institutions protecting investor interests while maintaining the highest standards of compliance. Finally, I'd like to share my perspective on Bitcoin market trends. Since the approval of the first U.S. spot Bitcoin ETF in early 2024 and most recent Bitcoin halving, market optimism has increased and remains strong. forecasts from various market participants range from the low hundreds of thousands to several hundred thousand dollars per BTC with projected time lines spanning from this -- later this year to 2030. I believe that the price of Bitcoin currently around $120,000 isn't the peak for the year and still has room to increase in the second half of this year. For example, institutions like Standard Chartered, Bernstein and Bit wise, all predict that Bitcoin will reach approximately $200,000 by the end of 2025. This is driven by 3 key factors. First, Bitcoin spot ETFs continue to attract capital. Data shows that by the end of 2024, Bitcoin ETFs had invested over $100 billion with over $50 billion flowing into ETFs since the beginning of 2025, providing significant momentum. Second, institutional holdings are steadily accumulating. Currently, nearly 100 publicly listed companies hold Bitcoin with a total value exceeding $100.5 billion, whether mining companies like BitFuFu or publicly listed companies that hold Bitcoin, but don't mine, they all believe in the future of Bitcoin and are increasing their holdings, which is greatly supporting and stimulating market confidence. Third, the halving effect creates a continuous contraction in supply, naturally increasing scarcity. With Circle's listing this year and the implementation of regulatory frameworks like the Genius Act, the overall stable coin market capitalization has reached approximately $281 billion. We are also pleased to see the U.S. government's latest executive order, liberalizing the use of alternative assets like Bitcoin in 401(k) accounts. recent favorable policies for various cryptocurrencies have laid a solid foundation for Bitcoin's price growth. I am optimistic about BTC's price performance in the second half of this year and I believe the cycle of price appreciation has just begun. I anticipate this year will be a good year for BitFuFu and there will be many opportunities for growth and development in the business over the next 3 years. With that said, I will turn the call over to Calla to provide more details on our financial results.
Calla Zhao: Thank you, Leo. Good morning, everyone. Now I would like to present our second quarter 2025 financial and operating results. Total revenue for the quarter was $115.4 million, a 47.9% increase from $78 million in the first quarter of this year. This strong sequential growth was driven by increased demand for our cloud mining solutions, rising Bitcoin prices and continued upgrades to our mining fleet. Cloud mining revenue increased to $94.3 million, a 22.3% year-over-year increase and a 75.6% increase compared to the first quarter. For the quarter, cloud mining revenue accounted for 81.7% of total revenue. Self mining revenue was $14.8 million, representing 12.8% of total revenue while mining equipment sales revenue was $5.2 million, representing 4.5% of total revenue. Other revenue sources such as mining machine hosting accounted for the remaining 1%. In the cloud mining sector, customer demand for cloud hash rates grew strongly this quarter with demand exceeding supply. New customers contributed approximately 51% of cloud mining revenue in the second quarter while existing customers contributed approximately 49%. In terms of operations by the end of June, the company's total managed mining capacity reached 36.2% exahash, a year-on-year increase of 46.6%, setting a new company record. Hosting capacity also reached a new all-time high of 728 megawatts, up from 522 megawatts in the same period last year. Total Bitcoin output for the quarter was approximately 1,060 Bitcoins, of which 143 Bitcoins came from self mining and 917 Bitcoins from client cloud mining activities. Quarterly costs were $102.5 million, a decrease of 13.4% compared to the same period in 2024. This decrease reflects lower electricity cost per terahash and continued improvements in procurement and operational efficiency. We have made significant progress in upgrading our mining equipment. So far this year, we have purchased about 10,000 S21 series miners, which will improve overall efficiency. Additionally, we dedicated human resources and funding to exploring Leo's previously stated goal of becoming a more vertically integrated power generation and mining company. by investing in our own power generation capacity in mining infrastructure. We will enable BitFuFu to better control energy costs and supply security, thereby improving profitability and reducing long-term operational risks. Operating expenses for the second quarter of 2025 reflect our continued investment in growth while maintaining strict cost management. Sales and marketing expenses were $0.6 million, and R&D expenses were $0.4 million, essentially flat compared to the same period in 2024. General and administrative expenses were $2.1 million, this compares to $1.4 million in the second quarter of 2024. We remain committed to ensuring that operating expenses grow in a controlled manner relative to revenue while making targeted investments in talent, product innovation and market expansion. Net income for the quarter was $47.1 million, a significant increase from $1.3 million in the same period last year and a strong rebound from losses in the first quarter. This performance included an unrealized fair value gain of $39.6 million, reflecting positive Bitcoin market conditions. Adjusted EBITDA were $60.7 million, compared to $8.3 million in the same period last year. For the 3 months ended June 30, 2025, Basic and diluted earnings per ordinary share were $0.29 and $0.28, respectively, compared to $0.01 for both in the same period of 2024. As of June 30, 2025, the company held $211.4 million in cash, cash equivalents and digital assets compared to $168.1 million as of December 31, 2024. This increase was primarily driven by the company's treasury management strategy, which supported liquidity and the appreciation in the value of its Bitcoin holdings during 2025. Looking ahead, we will continue to focus on expanding our 3 core business lines, cloud mining, self mining and mining machine sales while exploring new growth opportunities such as mining, farm management software and the other strategic goals previously mentioned. We believe these initiatives will further strengthen our market position and support long-term sustainable growth. This concludes my remarks. I would now like to give the final remarks to Leo.
Leo Lu: Thank you, Calla. Before I close, I want to thank our employees partners and shareholders for their continued support and trust. In summary, the second quarter was a pivotal one for BitFuFu, we achieved strong quarter-over-quarter growth, improved profitability and continue to solidify our leading position in both self-mining and cloud mining. The increased demand for our cloud mining services particularly from new customers and the continued efficiency gains from our fleet upgrades underscore the strength of our platform and the scale advantages we've diligently built. As we head into the second half of the year, we will remain focused on disciplined execution, efficient operations and continued expansion of our capabilities. Our strong balance sheet, scalable infrastructure and talented team provide us with the resources and flexibility to capitalize on market opportunities and create long-term value for shareholders. Thank you again for your participation today and your continued support. We look forward to updating you on our progress in the coming quarters. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now all disconnect. Have a nice day.